Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Jenny Chen, VP of Controls Transformation of Liberty Latin America.
Jenny Chen: Good morning, and welcome to the Liberty Latin America's Third Quarter 2025 Investor Call. [Operator Instructions] Today's formal presentation materials can be found under the Investor Relations section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instruction will be given for a question-and-answer session. As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects, and other information and statements that are not historic facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recent filed annual report on Form 10-K and quarterly report on Form 10-Q, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectation or in the condition on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to the presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Jenny, and welcome, everyone, to Liberty Latin America's Third Quarter 2025 Results Presentation. I will be running through our group highlights and an overview of our operating results by Credit Silo before Chris Noyes, our CFO, reviews the company's financial performance. We'll then get straight to your questions. But before we get into the details, let me start by taking a moment to recognize the hardship of our employees, customers, partners, communities, governments who bore the brunt of Hurricane Melissa in the Caribbean, especially in Jamaica. Their resilience is nothing short of amazing. Our commitment to this region is strong, and we will help with the recovery through our humanitarian and infrastructure rebuild. I will cover this in more detail in my commentary on Liberty Caribbean. As always, I'm joined by my executive team from across our operations, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4 and our highlights. Our core business performed very well in Q3. We added over 100,000 postpaid net adds across the group, notably driven by Costa Rica and supported by fixed mobile convergence efforts and continuing prepaid to postpaid migration. This was the strongest quarter of postpaid additions across the group in 3 years. We reported $1.1 billion of revenue in Q3. This represented a return to year-over-year growth driven by better trends in B2B as we had anticipated. This, in turn, came about through a combination of better momentum on enterprise and government-related contracts as well as the easing of tough year-over-year comps on B2B, which we faced in the first half of the year. Residential revenue grew year-over-year this quarter as we continue to focus on innovative customer value propositions across the markets. We posted adjusted OIBDA of $433 million, reflecting a rebased year-over-year growth of 7% in the third quarter. This included rebased growth across all of our segments, including Puerto Rico. This performance was driven by good execution on cost initiatives as well as strong customer base management. We maintain our focus on lowering capital intensity. These efforts led to a 22% expansion in adjusted OIBDA less P&E additions year-over-year, bringing us to a margin of 26%. Today, and despite some recovery through this year, we continue to believe our share price does not fully reflect the intrinsic value of our underlying businesses. We remain focused on delivering organic growth and cash flow generation, which we believe is critical for share price appreciation. Additionally, as previously discussed, we continue to look across our array of assets in the group and evaluate opportunities to close the embedded discount in our stock price. Turning to Slide 6. I'll begin our operating review with the Cable & Wireless credit silo, which had another very solid quarter. This silo includes Liberty Caribbean, C&W Panama and our Liberty Networks segment. Starting with Liberty Caribbean. We reported another strong quarter. On the left of the slide, we present our mobile KPIs. Postpaid mobile additions remained strong with mobile ARPU showing a healthy expansion on a year-over-year and sequential basis. Moving to the center of the slide to our fixed KPIs, the broadband subscriber base remained flat in Q3 with gains in Jamaica offset by declines mainly in Trinidad. Other highlights include the launch of 5G in Barbados, becoming the second market in our Liberty Caribbean segment to offer 5G alongside cable. Now turning to Hurricane Melissa. Damage is significant in the rest of the country, while the major economic hub of Kingston in the more populated east has been much less impacted. The situation remains very dynamic and impacted by the speed of power restoration on the island. Our latest data suggests that we are very thankful that 100% of our staff is marked as safe. Secondly, mobile traffic on our network is back to 80% of pre-hurricane levels. In our fixed network, over 40% of our overall customers are online, while in the major metro areas, we are at over 80%. On the power side, over 50% of Jamaica's power service customers have power, and 14 out of 15 of our owned and operated stores are open now and are supplemented by 17 stores on wheels, 2 of which are dedicated to just our B2B customers. Jamaica is a key part of Liberty Caribbean, a region we have operated in for over 150 years. We will be working tirelessly to repair and rebuild our infrastructure, leveraging the vast experience of the local and central teams while continuing to bring in partners like PTI under Towers, JPS and Powers and others to quickly stand our services back up. During the hurricanes approach, we went live with a satellite partnership with Starlink Direct to Cell in Jamaica to offer emergency Direct to Cell connectivity for our mobile customers. This played a key role in helping customers stay connected in areas where the mobile network has been down, and we have seen more than 140,000 unique users successfully attached to this D2C technology. As recovery efforts continue, we are beginning to see customers returning to our mobile network. While it's too early to assess the full impact of the hurricane, we would remind investors that we maintain parametric insurance across the Caribbean. One of its advantages over traditional indemnity insurance is that it pays out quickly, which facilitates a more rapid repair and rebuild. Chris will provide more perspective on this in his section. Moving to Slide 7 and our C&W Panama segment. Starting on the left of the slide. We continue to deliver postpaid net adds as customers migrate from prepaid. While this is a deliberate strategy, we are also pleased to report a return to prepaid growth after 2 consecutive quarters of decline driven by lower churn and a higher proportion of rejoining customers. Moving to the center of the slide. We delivered another solid quarter of Internet subscriber additions. The more significant shift this quarter came from the B2B space. We have previously highlighted recent wins with government-related and in the enterprise space, and these deals are now beginning to flow through revenue. B2B revenue this quarter expanded 33% on a sequential basis and 14% on a year-over-year basis. Next to Slide 8 and our final segment within the C&W credit silo, Liberty Networks. On the left of the slide, we present our Q3 year-over-year revenue evolution. Our strong performance in wholesale reflects the strength of our core operations and the growing demand for bandwidth across the region. Enterprise remains a key growth engine with continued momentum in IT as a service and connectivity solutions, particularly in Colombia and the Dominican Republic. These services are helping us build a strong base of monthly recurring revenue, which supports long-term stability and positions us well for the future. From an operational perspective, in August, Liberty Networks announced a major milestone with the launch of MAYA-1.2, an enhanced system spanning 2,386 kilometers that doubles the capacity of the existing subsea cable MAYA-1, and will continue to deliver critical capacity. This strategic upgrade represents a long-term investment in regional infrastructure, strengthening international connectivity and digital resilience throughout the Caribbean and Central America. This investment will also clear the way for the installation of Manta, the new pan-regional subsea cable system. We remain on track and excited about monetizing this asset in the coming years. Turning to Slide 10 and Liberty Costa Rica. Starting on the left of the slide. The main driver of our top line continues to be postpaid mobile segment. Through the first 9 months of the year, we have added almost 130,000 postpaid subscribers, representing a 13% expansion on the Q4 2024 base with a particularly strong Q3 performance. One of the drivers is our successful commercial strategy of migrating prepaid subscribers to postpaid and the good pickup in our Planes Libre offering. This is the lower-end postpaid plan, but is nevertheless accretive. Prepaid to postpaid migration is supportive for ARPU and churn helping to offset broader competitive tensions. Having now acquired the 5G spectrum we were awarded earlier this year, we look forward to further strengthening our mobile leadership in Costa Rica through the deployment of our standalone 5G mobile network in partnership with Ericsson. Moving to the center of the slide. On the broadband side, we continue to do a solid job maintaining our subscriber base despite a competitive market. We continue to work on strengthening our commercial offering in the market. Early in Q3, we launched an offer for new and existing customers to have access to the most popular over-the-top platforms, included India Home Plan. This bold and meaningful value proposition unique for the Costa Rican market is anchored by a new brand claim: you want it, you got it. As we have highlighted in our 10-Q, the regulator in Costa Rica, Sutel, has issued a resolution prohibiting our proposed transaction with Millicom. This outcome was surprising, given we have worked closely with the regulator over a number of months to design the appropriate remedies to address any competitive market concerns. We have filed an appeal and would expect a response shortly. In the event our appeal is denied, we intend to drive cost savings in our operation that we held off pending the combination with TiVo. We are starting to lay the foundation for that as we speak. Moving to Slide 12 in our third credit silo, Liberty Puerto Rico. Starting on the left of the slide. Mobile performance showed greater stability with postpaid losses lower compared to Q2, with churn tracking in the right direction. Commercial efforts in the third quarter focused on the launch of our new postpaid value proposition, Liberty Mix. Early results have been supportive. Momentum on gross adds have picked up modestly through Q3 with an improving port-in port-out ratio. Perhaps more significant at this stage has been the support to gross adds ARPU with the higher tiering subscriber blend leading to a 40% increase in September versus the month prior to launch. On the fixed side, we continue to see some competitive pressure impacting our subbase, though ARPU is sequentially stable and up on a year-over-year basis following price increases earlier this year. We launched a new commercial campaign on our fixed offer with a central theme of reliability with 3 distinct components. Firstly, recognizing that many homes in Puerto Rico have generators given the frequent power outages on the island, we launched a product that allows our fixed service to be up and running during these power outages by defaulting to the mobile network. We also offer new software in our devices that drives a stronger Wi-Fi experience in the home. Confident in the reliability of our network, we are also incorporating a 30-day network guarantee for customers. As we look out over the coming months, we will continue to ramp up commercial efforts on our fixed mobile convergence offer, Liberty Loop. Given FMC penetration across a number of markets in the LLA Group, we know that Puerto Rico is a laggard at just 23%, of which only 10% are real FMC customers who have converged products and are receiving a financial or experience benefit from them. Our focus on FMC is increasing, and we expect this to be a good driver into 2026. With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will take you through our financial performance before we move on to your questions. Chris?
Christopher Noyes: Thanks, Bal. I'll now take you through our Q3 financial results, starting on Slide 14. We posted revenue of $1.1 billion and adjusted OIBDA of $433 million, reflecting rebased growth of 1% for revenue and 7% for adjusted OIBDA year-over-year. All of our operating businesses reported year-over-year rebased growth on both revenue and adjusted OIBDA with the exception of a decline in revenue at Liberty Puerto Rico. Sequentially, as compared to Q2, LLA's reported revenue increased 2% and adjusted OIBDA increased 4%, a solid uplift, which sets momentum into Q4. Reflecting both lower capital intensity with P&E additions at 13% of revenue in Q3 and continued adjusted OIBDA expansion, LLA posted adjusted OIBDA less P&E additions of $284 million in Q3, a 22% improvement year-over-year. Although we were up year-over-year on adjusted OIBDA less P&E additions, our reported adjusted FCF before partner distributions was $16 million in Q3, a decline year-over-year. Our cash flow performance in Q3 continues to be challenged on collections, principally from our government customers, some of which we anticipate to receive in Q4. In addition, our prior year quarter benefited by approximately $90 million due to the positive impact of handset monetization during the quarter and the proceeds from the Hurricane Barrel weather derivative payout. As mentioned previously and consistent with prior years, we expect robust free cash flow performance in Q4, even with the impact from Hurricane Melissa, which should be mitigated in part by proceeds from our parametric insurance program. Slide 15 recaps our Q3 results for the C&W credit silo, which consists of Liberty Caribbean, CWP and Liberty Networks. Starting with Liberty Caribbean. In Q3, we reported $369 million in revenue with 3% growth year-over-year on a rebased basis. This result reflects year-over-year rebased growth of 5% in residential fixed, while both residential mobile and B2B increased by 2%. Revenue performance was supported by continued growth in FMC as evidenced by the postpaid additions over the last year, selected price increases across geographies and products and a favorable comparison to the storm impacted Q3 2024. Adjusted OIBDA came in at $173 million, representing 10% rebased growth year-over-year. Besides revenue contribution, a key driver of the strong Q3 rebased growth was lower operating costs, reflecting the continued impact of Liberty Caribbean's comprehensive efficiency and savings program, and relatively flat direct costs on a higher revenue base. For Q3, Liberty Caribbean's adjusted OIBDA margin improved nearly 300 basis points year-over-year, reaching 47%. Building upon Balan's points relating to Hurricane Melissa, we are in the early stages of assessing the operational, financial and economic impact of the storm. There are a number of dependencies, including the timing of the return of power to parts of Jamaica, which will influence our ability to provide service to customers. We anticipate adverse impacts to RGUs revenue and adjusted OIBDA in Q4. As a point of reference, Jamaica generated about $108 million of revenue in Q3, which is less than 10% of LLA revenue. Next, moving to Cable & Wireless Panama. CWP delivered $199 million of revenue and $72 million of adjusted OIBDA with year-over-year rebased growth of 6% and 4% respectively. The top line increase was driven by 14% higher B2B revenue year-over-year, which reflects the solid pipeline we had in Q2, and we continue to see good B2B momentum into year-end. Adjusted OIBDA growth reflected the lower margin B2B project revenue, while we also realized improvement in network and labor costs over last year's Q3. Turning to Liberty Networks. We generated $117 million in revenue and $65 million in adjusted OIBDA with a year-over-year rebased increase of 6% and 10% respectively. The rebased growth rates are our strongest in about 2 years. Each of our 2 business segments experienced solid year-over-year revenue growth with 5% rebased for wholesale, driven by subsea capacity revenue and 6% rebased for enterprise, reflecting continued growth in managed services and higher B2B connectivity. Our adjusted OIBDA growth reflects the positive impact of the revenue increase as well as lower bad debt year-over-year. Aggregating all 3 operating segments within the C&W credit silo, we generated $662 million in revenue, reflecting a year-over-year rebased increase of 4% and $309 million in adjusted OIBDA, resulting in an 8% year-over-year rebased growth. Moving to Slide 16 and the Q3 results for our 2 credit silos: Liberty Puerto Rico and Liberty Costa Rica. On the left, Liberty Puerto Rico. Q3 revenue was $298 million with a 5% year-over-year rebased decline. The primary drivers of this decline are a 7% rebased decrease in mobile residential revenue and a 16% decrease in B2B, both of which primarily relate to subscriber losses stemming from the mobile network migration completed last year. Adjusted OIBDA of $96 million in Q3 reflects 7% rebased growth. Mitigating the revenue decline over the last year, a key factor behind the year-over-year adjusted OIBDA growth this quarter is a comprehensive cost reduction plan the business has undertaken in order to rightsize and streamline its operations given the lower revenue and subscriber base. Additionally, the business also benefited from lower bad debt expense year-over-year. Concluding with Costa Rica on the right, we delivered Q2 revenue of $155 million and adjusted OIBDA of $56 million, representing a 3% rebased revenue growth and 7% rebased adjusted OIBDA growth year-over-year. Performance was driven by our residential mobile business, which grew 7% on a rebased basis year-over-year and was fueled by higher postpaid volumes and strong equipment sales. In addition, the operating team has been focused on controlling costs, which supported margins this quarter and is in the process of working through a more comprehensive plan for 2026. Next to Slide 17 and our Q3 balance sheet metrics for LLA. We had $8.4 billion of total debt, $600 million of cash and $900 million of borrowing capacity at September 30, of which our Puerto Rican group accounted for $2.9 billion of debt, around $120 million of cash and roughly $170 million of borrowing capacity. On an LLA consolidated basis, we posted net leverage of 4.6x, a slight improvement from Q2, helped by the higher adjusted OIBDA in Q3 from across our operations. If we exclude Puerto Rico from the leverage calculation, our net leverage would fall about a turn to the mid-3s. With respect to Puerto Rico, there are 2 balance sheet developments to highlight. One, the Puerto Rican business successfully raised a $250 million secured financing, of which $200 million was borrowed during Q3 via an unrestricted subsidiary approach. This provided the business with near-term liquidity to continue investing in operations and more than half of the proceeds were used to repay a significant portion of its fully drawn RCF. Second, as highlighted in early August, the liability management process is underway, and the business is actively engaging with its various stakeholders. As you can appreciate, given the ongoing discussions with stakeholders in the business, we are not in a position to provide further updates at this stage as regards to both the expected outcome and the timing thereof. Turning to how we protect our assets from nat cat events. We use a robust parametric program across our C&W and LPR credit silos. Our weather derivative was triggered and should help us mitigate losses from property damage, business interruption and other impacts from Hurricane Melissa. We expect to receive $81 million in third-party proceeds before year-end. Moving to Slide 18 and to wrap up our prepared remarks. As a recap, Q3 was a very good quarter at the operating level with top line expansion and improved adjusted OIBDA. No doubt, it will take time to recover from Hurricane Melissa and Jamaica, but I do know our employees are resilient and up to the task. We remain focused on getting key communications up for our customers and are encouraged by the quick progression in lighting up service since the event. As I highlighted on the last slide, the payout from our parametric program will be invaluable to our Jamaican recovery and should go a ways to mitigating the overall financial impact. As we look to finish the year, several important points to reiterate. One, our commercial plans remain robust on both B2B and residential, and we will be focused on the seasonally strong holiday selling season across many of our markets. Two, our cost reduction and efficiency programs across LLA continue to deliver, which will support and underpin our adjusted OIBDA and cash flow as we move into 2026. And three, cash flow is expected to be strong in Q4, and we continue to work hard across all of our businesses to deliver on that objective. And finally, we at LLA remain focused on improving value for our shareholders as we fundamentally believe the share price doesn't reflect the value of our businesses. We are focused on organically growing the business, pursuing strategic initiatives and optimizing capital allocation. These 3 components will be helpful in unlocking incremental shareholder value. With that, operator, please open it up for questions.
Operator: [Operator Instructions] Our first question today comes from Milena Okamura of Goldman Sachs.
Unknown Analyst: The first one is on timing and progress of your cost-cutting initiatives. Are they expected to be mostly done by Q4, benefiting 2026 as well? Or is it more gradual process throughout the next year? And are there any specific regions or cost lines where you expect this to be particularly relevant? And the third question, sorry, is if you could give us more color on margin drivers for Liberty Networks. You mentioned a bad debt reduction, but was that the main driver for the margin expansion? Or there were other factors that supported?
Balan Nair: Thank you for the question. So let me talk about our cost cutting. We embarked on this about literally about 20 months ago, and we're starting to see the benefits now certainly this year. And we anticipate it to follow through in 2026 as well. Our cost cutting continues through the end of this year and into the first half of next year as well. And there's a number of things that we look at. Clearly, cost of goods sold, the way we do COGS, there's a number of line items in there that we focused on. We also focused on other OpEx costs, including the tower leases. And of course, we also focused on labor. Where it makes sense, we've taken a very sharp look at the labor in our business. So my sense is that in 2026, there will be more opportunities in especially in the first half. But you see us also focus on revenue, and that's the other part of where we look at our margin expansion. Now on Liberty Networks margin drivers, there's a number of things that drove some of the margin expansion as we get off a lot of our IRUs acceleration, there's a lot of work that we've been doing. Bad debt has improved, as you pointed out. And
Operator: Apologies, ladies and gentlemen, we have lost connection to the management team's line. Please be on pause till we resumed the call. Thank you. Please proceed.
Balan Nair: I'm sorry, I think we lost our connection. I'm not sure at what point or where we dropped. Do you know where we dropped?
Operator: You are at Liberty Networks, Balan. Liberty Networks, I would do again.
Balan Nair: Okay. Yes, on the Liberty Networks, I think we were talking about margins on both sides in the OCF and OFCF level. And at an OCF level, as you pointed out that that has improved. There's a lot of things that we've done there, and we've also gone more and more to our monthly recurring revenue, taken off a lot of our -- coming to an end a lot of our IOU acceleration. And then, of course, at an OFCF level, our expenditure on project Manta is starting to grow. And the numbers are where we like it to be. We remain very bullish on this segment.
Operator: Our next question of today comes from Ernesto Gonzalez of Morgan Stanley.
Ernesto Gonzalez: So it's 2 from our end. The first one is on Puerto Rico. Could you please talk about room for additional margin expansion in the unit? And also on your cash uses outside of Puerto Rico, any details that you can share on priorities across deleveraging, buybacks, dividends and also any details on timing are greatly appreciated.
Balan Nair: Okay. On the first part, you'll continue to see margin expansion in Puerto Rico as we continue to recover the business. This year, our focus in Puerto Rico has been on the cost side, a significant focus on both the OpEx line, CapEx line, cost of goods line. Every single line item in that business was scrutinized, and we are running it, I think, very, very efficiently. The second stage of our margin expansion there comes from revenue growth. And you can start seeing already the numbers are coming in, even though we didn't post a revenue growth number this quarter. I anticipate next year, we'll start to see some positive uptick from a lot of the hard work that's going in this year. Systems have improved. Our processes have improved. Our store process have improved. Our sales teams productivity has improved. In addition to that, we've started the launch of our FMC. And there are questions as to why have we waited so long for FMC. Well, there were a lot of things that we had to do to fix, especially on our IT systems. We continue to have 2 different billing systems on fixed and mobile, but we had to do a lot of work on the mobile side. And now we're able to completely link it. This is our lowest FMC penetration in all of LLA, and we see some really bright future. And in addition to that, our channels are also improving, and we've got lower cost channels coming in, in 2026 as we embark on more digital sales. So there's a lot of really positive things that will happen to improve the margins. Now your second question, I think you were talking about our cash position in LLA in general outside of Puerto Rico. I didn't quite catch your question.
Ernesto Gonzalez: Sorry, it was on your uses of cash. So what do you expect to do across using the cash you're generating or you will generate for deleveraging buybacks, dividends and also any details on timing?
Balan Nair: Okay. Great question. Well, of course, our capital allocation strategy, we revisit it constantly. You'll see a lot of our cash generation comes in towards the back end of the year in the fourth quarter. As Chris pointed out, we are very confident on our fourth quarter cash generation. And together with our Board, we will determine the traditional ways of looking at our capital allocation, whether it's stock buyback, paying down our debt or even considering issuing a dividend. Everything is on the table as we look at the deployment of that cash.
Operator: Our next question comes from David Lopez of New Street Research.
Unknown Analyst: A couple of questions, please. On Puerto Rico on the fixed business, I was wondering if you can comment on competition. I think you mentioned a bit more competition this quarter. Is it coming from traditional cable or fibre? Or is it fixed wireless access who is getting more traction? And the second question is on Jamaica. I don't know if you can maybe tell us what's the proportion of the network that needs to be rebuilt and the proportion of the network that needs to be repaired. And if you can give a bit more color on the deal with Starlink that you mentioned in the press release.
Balan Nair: Okay. I'll start with the Puerto Rico part. Our fixed business there last year -- sorry, last year. This year, earlier this year, we took a price increase, and we saw churn bump up post the price increase. And in addition to that, of course, competitive pressures have increased in Puerto Rico. Our sense is that for the most part, our churn, by the way, still remains quite low, but the churn that we're seeing, we are mostly going to other fixed operators. They're not going to fixed wireless. That's where the churn -- our product is actually very competitive, both from a price standpoint. And from a speed standpoint, we are actually doing really well. And here's why we're excited about our fixed business going forward. We've launched a number of new products there. We've revised our pricing, like I said, with our FMC bundle, but we've also launched a couple of new products. One of it is our always-on product, we call it Kepon in Puerto Rico. And that was one of our disadvantage beginning of this year with a lot of power outages in Puerto Rico, where a competitor with fibre would probably not experience the outage if they have generators at home. Yet in the HFC plant, you would see an outage. But with this new Kepon product, the customer doesn't miss a beat at all. And we're quite excited about that. In addition to it, we've also improved our Wi-Fi in the home with a software upgrade that now makes us really one of, if not the best Wi-Fi in the home. So we feel really good between our FMC, our new products, our always-on product, and high reliability, and that's why we've also launched a 30-day moneyback guarantee to customers -- new customers that come into our network. So that's on the Puerto Rico phase. In Jamaica, we're still studying it. There's a number of things that we're looking at, right? A quite a bit of our outages right now is because of power or the lack of it. And as of today, the Jamaica power company, JPS, is about 50% back on in Jamaica. To our network specifically, it's more closer in the 40s, the mid-40s to our network where JPS has power too. So as the power comes back, you'll see our network recover. Now having said that, the hurricane did go through the west part of the island quite seriously and has damaged a number of our towers. But as you recall, we have -- we did a deal with Phoenix Tower, where with that deal PTI is responsible for the rebuild, and they've been great partners. They've put people on the ground, and they are rebuilding those towers on our behalf. So there will be some work, but there's more to come. I think we're still in the early days of evaluating both the network damage as well as what is really done because of power. And as power comes back, I think you'll see our network come back up as well. Yes, there was a third question on Starlink. Let me say it this way, they have been great partners. And the product that we launched, we did it in literally like 72 hours, which is the DTC product. And this was actually very, very well received by our customers. So the way it works is when you do not have access to our cell power, and so you don't have network access in your mobile phone, you can do text and very low bandwidth data like WhatsApp, low bandwidth WhatsApp through Starlink. And this kept a lot of our customers with full connectivity. So we felt really good about the product. The second part of what we're using Starlink for is in our B2B customers, we fired up Starlink as a backup to our fixed product. So where our fixed product is down, Starlink comes up. Now where there's no power into that business, then it doesn't matter what the method of connectivity is. But for the most part, we are already building up a lot of our B2B or fixed network because most of our B2B customers are in Kingston, and that's coming up. The second concentration of B2B customers is in Mobi up north, northwest. And in that area, power is still out. There's a lot of challenges there, but we are slowly rebuilding that part as well. And Starlink has been a really, really good partner of ours.
Operator: Our next question comes from Matthew Harrigan of the Benchmark Company.
Matthew Harrigan: We all know it's dangerous to draw inferences from the U.S. mobile market. Looking at your markets, people can't run out and buy an iPhone 17 Pro on a whim and conversely, favorably, you have a lot more penetration upside, particularly on postpaid. But 2 things in the U.S. market. T-Mobile is really doing well because they have such a high switching share because they have a better network. And in fact, if you run the numbers, the whole industry can slow down a lot and they can still grow nicely on account of the superior switching share. And then the cable operators, of course, have FMC advantages with the MVNO that they have with Verizon. And you arguably could be positioned for both of that as you get these good postpaid numbers in the Caribbean markets in particular. But would you say that's a factor? Would you say that even though people aren't buying the highest price point phones that there's some device innovation that's a factor because clearly, you're putting up really nice postpaid numbers. And then on the parametric insurance, because Melissa just had those record wind speeds and all that, and I know it's very precise and exactly where the speeds were recorded and all that, but it feels like you could get quite a disparity between the damage incurred and the payout. And it also feels like the insurance companies have to constantly appraise their approach in doing that because it feels like you could get some quirky results, bad and good for you or the insurance companies, depending where you get the wind speeds and where you get the actual damage because I'm sure you know at this point how fickle damage and both for life and property can be from a hurricane. Thanks and congratulations on the progress. And I'm very sorry in Jamaica. I've been there a number of times, a beautiful country.
Balan Nair: Matthew, thanks for your comments. I agree with the first part of your comment that as we get more and more postpaid, there is a lot of stability in that revenue. And that's why we've been focusing a lot on that, and you get out of a lot of the washing machine of the prepaid business, even though we do love the prepaid business as well. And in most of our markets, you'll see our COGS is not as high because it's not an equipment-driven market. So it's really a great business for us on postpaid. On insurance, I'm going to let Chris comment, but I'll tell you, Chris and his team did a tremendous job. This is -- there's some luck involved clearly because of the path of the hurricane. But the way the hurricane parametric insurance was designed with the concentric rings, it was very thoughtful. And in this case, the path of the hurricane triggered the Westside ring and it triggered one of the other layers of the concentric rings from Kingston as well. We feel really good about this. And one of the great things that Chris did as well is that the payout is quick. So the NPV on this insurance is really good. But I'll ask Chris to give you a bit more color.
Christopher Noyes: Yes. Nice to hear from you, Matt. I mean I think as we look at the parametric, I mean, it's highly, highly analytical and studied over hundreds of years of storms, and we focus on where the value in our business resides so that it is protected. So if it does go over an urban center that there is a recovery to help mitigate the damage on both BI and property. But it's always evolving each year. We continue to get smarter on trying to figure out the best ways to protect risk for our business. And we have a decade plus of knowledge here of continuing to evolve this particular parametric program.
Operator: Thank you. We have no further questions. So that will conclude today's question-and-answer session. I'd like to hand the call back over to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator, and thank you, everybody, on the call for your support. We are very pleased with our results this quarter, and we see it continuing in this trend. All our initiatives are kicking in. And as you can see, it's starting to yield very nicely. We feel the future is really bright here in LLA. Thank you very much again for your support.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's Third Quarter 2025 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com, where you can also find a copy of today's presentation materials.